Operator: Good day, and welcome to the Progress Software Corporation Q4 2025 earnings call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question and answer session. To ask a question during the session, you will need to press star 11 on your telephone. You will then hear an automated message advising your hand is raised. To withdraw your question, press star 11 again. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker, Mr. Michael Micciche, Senior Vice President of Investor Relations. Please go ahead.
Michael Micciche: Thank you, Sherry. Nice to have you back. Afternoon, everyone, and thanks for joining us for Progress Software Corporation's fourth fiscal quarter and fiscal year 2025 financial results conference call. With me this afternoon are Yogesh Gupta, President and CEO, and Anthony Folger, our Chief Financial Officer. Before we get started, let me go over our safe harbor statement. During this call, we will discuss our outlook for future financial and operating performance, corporate strategies, product plans, cost initiatives, our integration of ShareFile and Nuclea, and other information that might be considered forward-looking. Such forward-looking information represents Progress Software Corporation's outlook and guidance only as of today and is subject to risks and uncertainties, and our actual results may differ materially. For a description of the factors that may affect our future results and operations, please refer to the risk factors in our SEC filings, particularly the risk factor section of our most recent Form 10-K and 10-Q. Progress Software Corporation assumes no obligation to update forward-looking statements included in this call. Additionally, please note that all the financial figures referenced in this call are non-GAAP measures unless otherwise indicated. You can find a reconciliation of these non-GAAP financial measures to the most directly comparable GAAP figures in our earnings press release, which was issued after the market closed today. This document contains additional information related to our financial results for the fourth quarter and the full year of fiscal 2025, and I recommend that you reference it for specific details. We've also provided a slide presentation that contains supplemental data for our fourth quarter and fiscal year and provides additional highlights and financial metrics. Both the earnings release and the supplemental presentation are available on the Investor Relations section of our website at investors.progress.com. Today's call is being recorded in its entirety and will be available for replay on the Investor Relations section of our website shortly after we finish. And with that, I'll turn it over to Yogesh for his prepared comments.
Yogesh Gupta: Good afternoon, everyone, and thank you for joining us to discuss our Q4 and fiscal year FY '25 results. Fiscal year '25 was Progress Software Corporation's strongest year to date, driven by a combination of ShareFile and the strong performance of our overall product portfolio, especially during the second half of the year, which was increasingly propelled by our customers' AI projects. This resulted in annual revenue of $978 million, up 30% year over year, and earnings per share of $5.72, up 16% from fiscal year '24. Our business got stronger throughout the year, as evidenced by the fact that we exceeded the midpoint of our original revenue guidance from last January by approximately $14 million and beat our operating income guidance by 6%. We continue to meet our customers' needs in an AI-driven business world by investing and innovating across the products they rely on. This is demonstrated by our 100% net retention rate and 2% year-over-year ARR growth to $852 million, which now represents over 87% of our total revenue. For the fourth quarter, revenue finished at $253 million, up 18% year over year, right in line with our most recent guideline. Earnings of $1.51 were well above the high end of guidance, thanks yet again to excellent expense discipline and consistent execution. As Anthony will discuss in detail, cash flow remains strong, and we continue to both pay down our debt and make opportunistic share repurchases. Our balance sheet is in excellent shape, and we remain flexible and well-capitalized to execute M&A as we carry out our total growth strategy. Looking ahead, the high end of our initial guidance for FY '26 is $1 billion, a very exciting milestone for Progress Software Corporation, with unlevered free cash flow of nearly $320 million at the midpoint. Our confidence in the FY '26 guidance is a result of the momentum in our business during the '25, which I mentioned earlier, and our expectation of continued investments in AI projects by our customers. Our AI product innovations are leading our customers to recommit to us as they see us as a trusted partner in their journey. Before I talk more about this, let me provide an update on our ShareFile and Nuclea acquisitions. During fiscal year 2025, we completed the integration of ShareFile, our largest deal so far, which is proving to be one of our best acquisitions, as you can see from our results. We passed every milestone and met every goal on or ahead of schedule. We also acquired and fully integrated Nuclea Agentic RAD technology, which has been extremely well received by customers and is adding significant functionality and value to our products. In addition to outstanding products and technology, ShareFile and Nuclea have brought us many new, very talented team members with significant and cutting-edge expertise. Let me also quickly recap some other highlights from the fourth quarter. Our investment in innovation and R&D continued across our product lines as we enhanced our offerings, delivering dozens of new AI capabilities in addition to the usual upgrades and features. To list just a few, we launched Progress Agentic RAD, an industry-leading product to help organizations leverage generative AI with confidence. We introduced the industry's first generative content management system with built-in RAC capabilities in Sitefinity. This innovation introduces native multilingual Agentic RAD-based AI technology to deliver dynamically generated user experiences driven by a site visitor's prompt and online activity. We launched an enterprise-grade Agentic UI generator that leverages our market-leading Telerik and Kendo libraries to automatically generate multi-component brand style page layout from simple language prompts. This UI agent delivers robust business functionality and works right inside the developer's IDE of choice. We launched Automate MFT, a new cloud-native file transfer solution that is helping customers reduce total cost of ownership by up to 50% compared to traditional products. To highlight the impact our data solutions are having on our customers' AI initiatives, let me provide a recent example. A Fortune 50 agriculture and food company was struggling to leverage the extremely large volumes of structured and unstructured data stored across its enterprise. This data is stored in hundreds of different sources in nearly a thousand different formats and contains invaluable business information gathered over several decades. They leveraged our Progress Data Platform to unlock value by creating a single unified view of all the information and gain relevant, accurate, and actionable insights worth tens of millions of dollars. This demonstrates the impact and relevance of our products in a world where Gen AI is making it critical for organizations to get their arms around their data and ensure that AI delivers fact-based answers that they can rely upon. Another important news from Q4, the U.S. Department of Defense Chief Digital and AI Office added Progress Federal Solutions Group to the Tradewinds Solutions marketplace, which is the DOD's list of pre-approved providers of AI products. This designation allows DoD customers to rapidly procure and deploy a Progress Data Platform, bypassing the usual government procurement processes. It underscores our commitment to delivering scalable, secure, and innovative AI solutions that help government agencies achieve their AI objectives. During the fourth quarter, we also announced our expanded presence in Costa Rica. Building on ShareFile's existing footprint, we opened a new facility that serves as a center of excellence for tech support, customer success, sales, and corporate functions. This new center strengthens our ability to support regional growth in US time zones and creates new opportunities to deliver value to our customers. Internally, our excellent expense control and operating performance continue to benefit from our own adoption of AI to increase productivity and drive efficiencies. Across engineering, our teams are using AI in every phase of development, whether it is to write PRDs, generate code, create QA tests, establish test environments, or create education and tech support content. This has enabled us to accelerate product innovation, as well as improve the quality of customer tech support while containing costs. Our finance, HR, sales, communications, and marketing teams are increasingly using AI in a variety of ways to improve the quality and increase the quantity of their work. Speaking of our teams, I'm very proud to say that for the fourth year in a row, we experienced a very low voluntary attrition rate, just 6% for fiscal 2025. Once again, this industry-leading metric reflects the positive, inclusive culture of our team, and our ability to retain critical talent, maintain continuity, and keep turnover-related expenses down. And the Boston Globe, in its recent list of top places to work, ranked Progress Software Corporation number one among large software companies in the region, just last month. Now let me touch on our commitment to our total growth strategy and the M&A outlook. As ever, there are many opportunities for Progress Software Corporation to look at, among the literally thousands of software companies. However, the right targets for us are infrastructure software vendors with solid technology and a strong, stable install base of customers. And over the past few quarters, few such assets have come to market. Selectivity, patience, and discipline continue to be the hallmarks of our M&A strategy, and we will evaluate all opportunities, whether they are an outright purchase from founders, VCs, PE sponsors, or a divestiture, as long as it fits our strict criteria. Our corporate development team remains active, and as I mentioned earlier, we feel very good about our ability to finance the next deal and execute well. We got off to a quick start to FY '26 and held our annual sales kickoff in Atlanta during December. Over 650 of our sales, field engineering, and customer success professionals gathered in person to learn about our latest product offerings, go-to-market initiatives, and to review key objectives for FY '26 and beyond. Our business momentum, and particularly our AI innovation work, created an extremely high level of excitement in our sales teams about the opportunity in front of us. It's hard to overstate the energy and excitement among our team. We returned ready to hit the ground running. To conclude, from an operating, financial, and strategic perspective, we're thrilled to be carrying steady momentum into 2026. We are excited about the year ahead. I want to congratulate the entire Progress Software Corporation team for an incredible year in fiscal 2025, and as always, thank them for a job well done. Let me now turn it over to Anthony for his prepared remarks, and then we'll be happy to take questions.
Anthony Folger: Great. Thanks, Yogesh. And good afternoon, everyone. We're very pleased to share our outstanding Q4 and full year 2025 results, closing out a very successful year for Progress Software Corporation. Let's get right into the numbers, starting with ARR, which we believe provides the best view into our top-line performance. We closed Q4 with ARR of $852 million, approximately 2% pro forma year-over-year growth. For clarity, our pro forma results include ARR from acquired businesses in all periods presented. This growth in ARR was driven by multiple products, including ShareFile, OpenEdge, WhatsUp Gold, and our DevTools products. And consistent with prior quarters, our net retention rate remained strong at 100%. In addition to growth in ARR and solid net retention, Q4 revenue was $253 million, up approximately 18% year over year. Our revenue strength in the quarter was broad-based, with outperformance coming from OpenEdge and ShareFile, both of which performed better than our internal expectations. For the full year, our revenue was $978 million, up $224 million or 30% over the prior year. That growth is entirely driven by a full-year contribution from ShareFile. Reflecting on 2025, we believe we made the right investments in our products, keeping them mission-critical in an AI-driven world. And this is validated by our strong customer retention and consistent ARR growth across multiple products throughout the year, a demonstration of the resilience in our portfolio. Turning now to expenses. Total costs and operating expenses were $156 million for the quarter, up 16% over the year-ago quarter, and $593 million for the full year, up 30% compared to fiscal 2024. The year-over-year increase for the quarter and for the year was entirely driven by the inclusion of a full year of ShareFile activity. Operating income for the quarter was $96 million for an operating margin of 38%, exceeding our internal expectations. Earnings per share were $1.51, which was $0.16 above the high end of our guidance range. This better-than-expected performance in operating margin and EPS was the result of strong top-line execution, coupled with excellent cost management across the business. Turning now to a few balance sheet and cash flow metrics. We ended the year with cash and cash equivalents of $95 million and debt of $1.4 billion, for a net debt position of $1.3 billion. Our net leverage ratio at year-end was approximately 3.4 times, which was slightly better than where we expected to be with the ShareFile integration now complete. DSO for the quarter was seventy-three days, up six days compared to the year-ago quarter. Deferred revenue was $425 million at the end of the fourth quarter, up approximately $21 million year over year and $44 million sequentially, reflecting strong fourth-quarter top-line performance. Adjusted free cash flow was $62 million for the quarter, and $247 million for the year, an increase of 16% over the prior year. And we also continued to return capital to shareholders, repurchasing $40 million in stock in Q4 and $105 million for the full fiscal year 2025. We ended our fiscal year with $202 million remaining under our current share repurchase authorization. Okay. Now we'll turn to the outlook. And before getting into the numbers, I'd like to highlight the following items. First, we will continue to focus on ARR as a key metric, and we expect ARR growth generally consistent with the 2% growth we saw in fiscal year 2025. Also, our 2026 outlook assumes minimal revenue impact from the timing of multiyear contract renewals, and as a result, we expect annual revenue growth similar to our ARR growth. Second, we expect to aggressively repay the revolving line of credit that we used to partially finance the ShareFile acquisition. We've modeled $250 million of repayments for fiscal 2026, which would improve our net leverage ratio to approximately 2.7 times by year-end. As a reminder, in July 2025, we upsized the capacity of our revolving credit facility from $900 million to $1.5 billion. Finally, we expect to roll our 2026 convertible notes into our revolving credit facility when those converts mature in April 2026. With $900 million of unused revolver capacity today, together with our aggressive debt repayment plan, we'll have more than enough capacity to absorb $360 million in principal and continue executing our total growth strategy. With all that said, for 2026, we expect revenue between $244 million and $250 million and earnings per share of between $1.56 and $1.62. For the full year 2026, we expect revenue between $986 million and $1 billion, representing between 12% growth over 2025, an operating margin of 39%, adjusted free cash flow between $260 million and $274 million, and unlevered free cash flow between $313 million and $326 million. Finally, earnings per share are expected to be between $5.82 and $5.96 per share. Our guidance for full-year EPS assumes a tax rate of 20%, the repurchase of $20 million in Progress Software Corporation shares, and approximately 44 million shares outstanding. In closing, we're excited to deliver great fourth-quarter results, capping off a strong 2025. With the product investments we've made and the ShareFile integration complete, we believe we're well-positioned to execute our strategy and deliver solid results throughout 2026 and well beyond. With that, I'd like to open the call for Q&A.
Operator: Due to time restraints, we ask that you please limit yourself to one question and one follow-up question. Please stand by while we compile the Q&A roster. And our first question will come from the line of John Stephen DiFucci with Guggenheim Securities. Your line is open.
John Stephen DiFucci: Thank you. And nice job here, guys, on this quarter. And you know, as usual, the execution is really impressive, especially seeing ShareFile here. I guess I have a bunch in my mind. I'm gonna go high level right now. Because you guys see the market. You see what's happening to all of software, especially applications. And Yogesh, you've been in this for a long time. And I knew you. You've been a business, and that's meant to be a compliment. I've been around a while too. And you've been a business leader for a long time, but I first knew you as a technology leader. And I'm just curious about your perspective. Because right now, there's this fear out there on AI. You talked a lot about it in your prepared remarks. And especially for applications. So I wanna like, broadly speaking for software, how do you think this evolves? And I know there's no real like, no one really knows right now. How do you think? Yeah. What do you think it involves for software? And in that context, for Progress Software Corporation? Thank you.
Yogesh Gupta: Yeah. Absolutely, John. Thank you. And you know, it is fascinating to see sort of the level of hype, if I may call it that, that has led to the level of fear around the disruption of software in the business world. You know, you said specifically, let me start with applications even though that's not our business. You know, I have yet to speak to a CIO of any meaningful size business who realistically is planning to write their own ERP, write their own financial system, their own HR system, like their own whatever. Right? So I think, you know, in the end, businesses are in the business of whatever business they are in, and the tools they use, applications they use to run their business, basically are, you know, a means to an end. And so unless they are a technology company themselves, I really don't see, you know, a lot of that today. Now, obviously, over time, things will get different. I think what can happen is that you can get new competitors come to market with offerings that are, let's say, similar to the application available in the market today. But then the question is how hard it is to do three things. One, get your data out of, let's say, a Salesforce or a ServiceNow or a whatever and move to the new offering, whoever that is, by the way, and they're not gonna be free either. So the question is, you know, how much effort will that be? Even more importantly, what risk will that create for the business? You know, we have seen historically when people have tried to move from one ERP to another, I mean, I remember, John, a long time ago when SAP was the appointed to by Fortune 50 companies as a reason why they were gonna miss results for a quarter and the year. Because their implementation of SAP was going like a disaster. Right? And they were trying to move from some ERP to SAP being a manufacturing company, that was the heart and soul of the business. So I think that there's a risk involved, and the question is can the risk be minimized? And then last but not least, what does it take to get the employees in the company and organization retrained in the new system? So I think these are real hurdles. So I actually think that the fears, at least in the near term and the near term in my mind is the next one to three years, are, to be honest, way overblown. And from a Progress Software Corporation perspective, it's even more fascinating because, you know, we sit inside, you know, environments, and our software is helping people run their environments well, govern their environments well, get access to the data, leverage that data for business-critical work, you know, do their workflows internally, manage their content, deliver digital experiences. And all of those are becoming AI-enabled. But it doesn't mean that people won't want to do that. Right? People will still want to have, you know, digital experiences. They just want to be able to have AI, you know, natural language interfaces, and easy to build out and easy to connect them to existing data, which we do today. Right? So I think as long as we continue to invest in our products, we will see continued success in the market. And you know, it's interesting that we have a footprint out in the world that ranges from, you know, fundamental design of ASICs companies to people who manufacture machines to build chips to chip manufacturers themselves, to everywhere up and down the tech stack also. And we're seeing interesting things happening there where they are using our products more because their needs are growing. So whenever a business grows, and sometimes the financial industry grows, sometimes manufacturing grows, sometimes the chip industry grows. It doesn't matter which one it is. Right? For us, it is as industries grow, as certain sectors grow, because we are so broad-based, and we are, by the way, in large companies and extremely small and midsized companies as well. We are actually quite well, you know, in my mind, broad-based and hedged that way. That I expect us to continue to do well, which is why I am excited about Progress Software Corporation, which is why we basically think that our growth this year will reflect what it was last year. That our ARR organic will continue to grow at a 2% rate. You know, it all is a reflection of how we feel and how I feel about our business.
John Stephen DiFucci: Thank you. Thank you very much for that perspective, Yogesh. It sounds, if I could just as I was listening to you talk, it sounds like there's a lot of complications here that you can't just gloss over. One thing sounds clear is that software companies, including Progress Software Corporation, are gonna have to embrace AI and help customers leverage it. Thanks a lot for that.
Yogesh Gupta: Absolutely, John. You're absolutely correct. And that is why we, as well as others, are, I think, doing it aggressively.
John Stephen DiFucci: Awesome. Well, I'll turn it over to others and get back in the queue. Thanks.
Yogesh Gupta: Thanks, John.
Operator: One moment for our next question. And that will come from the line of Fatima Boolani with Citi. Your line is open.
Fatima Boolani: Good afternoon. Thank you so much for taking my question. Yogesh, I wanted to drill down into the same line of questioning, riding on John's coattails a little bit. You know, the last time we had a conversation around, hey, how does Progress Software Corporation insert itself in the monetization path of AI? Because clearly, there has been a lot of considered and deliberate investment in your entire portfolio as it relates to AI and AI enablement. You know, I think one of the things you said very clearly was, you know, this should show up, you know, maybe more imminently or more materially visibly in net retention rates. And so when I kind of look at the trajectory of the 100% net retention rate levels, you kind of pretty consistently put up for the last four or five quarters. I wanted to ask you why we haven't seen maybe more of a meaningful uptick in that in terms of monetization manifesting in that figure, especially because you gave some very clear examples of how you are at the nexus of transformation for a lot of your customers. So any incremental detail around that would be very helpful. And I have a follow-up for Anthony, please.
Yogesh Gupta: Sure. Happy to. So I think, and I'll share my view, and Anthony is happy to chime in as well. You know, I think that in terms of net retention rate growth, and increasing it over 100% means there's meaningful expansion across the broad customer base. And I think that even today, you know, the vast majority of investment in AI is limited to, to be honest, a relatively small number of tech companies. A lot of other companies actually are doing things that are more around, you know, trying to leverage infrastructure that is already being built by others. And so on. So they're spending money on data centers, they're spending money on things that are truly bottom level. And in the business space, in the business community, I don't see yet a spend that is taking place to the same level that I expect as time goes on. So I think it is early. This is sort of like reminds me of the, you know, Internet pipe laying era where everybody was saying, let's lay down dark fiber as fast as we can. And then we'll figure out how to leverage it. And if you notice, right, it took Amazon a decade to then really start getting into its stride after that. And people forget that, you know, what Amazon's trajectory was earlier. And then, of course, Amazon has been unbelievable over the last twenty years. So I think that it is just it takes time, and I think people always underestimate the short-term time it will take. But then they also underestimate how quickly it accelerates when it does accelerate.
Fatima Boolani: I appreciate that nuanced perspective. Thank you, Yogesh. Anthony, maybe a more tactical one for you. You very specifically mentioned that from a revenue growth perspective in fiscal 2026, you are not going to see as much of a material impact from multiyear contract renewals. I'm wondering if you can translate that into how we should think about free cash flow and free cash flow linearity and seasonality over fiscal 2026? And maybe if you can also sneak in some commentary on some of the 4Q free cash flow performance that maybe was a little bit late from a seasonality side relative to where some broader expectations were. Thank you.
Anthony Folger: Sure. So I guess maybe the second part of that question first. Q4 was a great quarter in terms of cash flow. Q4 was also a quarter where we had a significant beat on bookings. And, you know, a lot of what we do in the quarter is back-end loaded. So as we sort of work our way through year-end, we saw a pretty significant uplift in cash flow for the quarter. And also for '26. Right? I think a lot of the beat when a significant beat in bookings happens back-end loaded, a little bit of benefit in '25, but really where we saw it was '26. And I think you can see the growth in free cash flow in '26, you know, certainly outpacing growth in revenue or margins. And so, you know, I think we feel pretty good about sort of an acceleration that we're starting to see in terms of free cash flow. In terms of the linearity, you know, I don't know that it's gonna be any different. I think ShareFile is, you know, I would say, subject to seasonal fluctuations than the rest of our business would have been. Just because of the nature of that business. And so I wouldn't expect material differences in the seasonality or the linearity of our free cash flow from where we've been historically.
Fatima Boolani: Thank you. Very clear.
Yogesh Gupta: Thank you.
Operator: And our next question will come from the line of Lucky Schreiner with D.A. Davidson.
Lucky Schreiner: Congrats on the quarter and some impressive results here. It looks like your SaaS revenues, you know, had a pretty strong sequential increase, and I guess I was wondering, you know, what drove that? Was there anything to call out? And maybe translating that to guidance, you know, I assume you're not baking in similar strength on the SaaS side. You know, would you say it's, you know, roughly a similar mix in 2026 as in 2025 in terms of the different revenue lines?
Anthony Folger: Yeah. Hey, Lucky. Yeah. It was a very good quarter. Q4 was a really strong quarter on the SaaS line. I think sequentially, you can see the move up, and, you know, I think there was a lot of strength in ShareFile, and there was a lot of strength in some of the other products, some of our other SaaS offerings. So both of those combined, you know, were really what led to the uptick. I guess I would say this. As we look forward to 2026, you know, ShareFile's growing well. But it's a single-digit grower. It's not a significant outlier with the rest of our business. So I don't, you know, I wouldn't want to leave anybody with the impression that ShareFile or SaaS generally is sort of driving outsized growth. It's a little bit better than the rest of our business, but it's not so dramatically different. So, you know, Q4 was a pleasant upside surprise for us on the SaaS side. I think we're, you know, we're probably, you know, looking for in '26, something that's a little more consistent with the annual results. Right? So sort of a steady up into the right growth trajectory as we go.
Lucky Schreiner: Gotcha. That makes a lot of sense. And then maybe for Yogesh, a little bit of another philosophical question. You guys look at a lot of private companies, right, with your growth strategy, and I feel like you might have a unique vantage point here. Have you noticed any change in retention rates of the targets, the software companies that you're looking at acquiring? As, you know, there are these overhanging fears of AI startups disrupting, you know, fundamental software businesses. I'm just curious if you've noticed any change in retention rates at some of the companies you look to acquire.
Yogesh Gupta: To be honest, Lucky, yes. And, you know, I mentioned that, you know, it's tough to find really good quality companies. I think one of the challenges I think smaller companies are facing is that the customers are questioning whether, you know, they will make it, and they're trying to decide whether they should switch to somebody larger or something like that. So there is a bit more of a churn. Some of the businesses we have seen that have had exposure to the federal government that has been significantly larger as a proportion of their business, I think they have seen challenges as well. So yes, we are seeing softening in their both gross and net retention rates. And, again, from our perspective, we want to buy a business that is a solid business that we believe, you know, we can sustain the 100% net retention rate going forward. And so we continue to be very selective in what we look for, and we continue to make sure that whatever we buy is a good quality business. There's a lot of stuff that's available cheap, but it doesn't mean it's a good business to have.
Lucky Schreiner: I think that's why you guys have been so successful so far, so I appreciate that context. Thanks.
Yogesh Gupta: Thank you.
Operator: And that will come from the line of Ittai Kidron with Oppenheimer. Your line is open.
Nolan Bruce Jenevein: Hi. This is Nolan Bruce Jenevein on for Ittai. Thanks for taking my question. Just kind of want to double-click a little bit on operating margins. It was a really strong quarter for operating margin. But you're kind of guiding for roughly flat next year. And it feels like you still have a lot of initiatives going on that, you know, seem to be favorable to operating margins. So I just kind of want to double-click. What are the sort of implicit assumptions for operating margins next year? In terms of the fundamental puts and takes. Thank you.
Anthony Folger: Yeah. Sure. So I guess maybe the one thing I would point to is when you look at 2025 and sort of look back at the year, coming into the year, I think our initial guide was something like 37%, maybe 37 and a half as an operating margin. And, I mean, we just blew that away. Right? I think we were able to integrate ShareFile more quickly and at a much lower cost than we expected, and we ended up getting to our target margin a lot faster. And so, you know, we end the year with roughly 39% margins, which is pretty much where we were at prior to ShareFile. And so, you know, I think, to me, sort of the upside or the positive in this is that the ShareFile integration and the execution around it was fantastic. I think the team did an absolutely outstanding job, got us to our target margin a lot faster. And, you know, ultimately, as we look out into '26, you know, we're already at our target margin. That gives us an ability to make investments in other areas in the business. You know, we acquired Nuclea. We continue to make investments in AI. You know, smart investments, we think, that are gonna continue to propel us forward. And I think those are the dynamics. Those are really the puts and takes. But I think, really, the positive there is getting to that target margin in '25 a lot more quickly was just a really, you know, a lot of upside and a big positive for us.
Nolan Bruce Jenevein: Got it. Thank you so much.
Operator: Thank you. I'm showing no questions in the queue at this time. I would now like to turn the call back over to Mr. Yogesh Gupta for any closing remarks.
Yogesh Gupta: Thank you, Sherry, and thank you, everyone, for joining us. We look forward to speaking with you in the near future. Have a good night.
Operator: This concludes today's program. Thank you all for participating. You may now disconnect.